Operator: Good day, ladies and gentlemen, and welcome to the Second Quarter 2018, The Cheesecake Factory Incorporated Earnings Conference Call. At this time all participants are in listen-only mode. Later, we will conduct a question-and-answer session, and instructions will follow at that time. I would now like to introduce your host for today's conference, Miss. Stacy Feit, Senior Director of Investor Relations. You may begin.
Stacy Feit - The Cheesecake Factory, Inc.: Thank you. Good afternoon, and welcome to our second quarter fiscal 2018 earnings call. On the call, today are David Overton, our Chairman and Chief Executive Officer; David Gordon, our President; and Matt Clark, our Executive Vice President and Chief Financial Officer. Before we begin, let me quickly remind you that during this call, items will be discussed that are not based on historical facts and are considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual results could be materially different from those stated or implied in forward-looking statements as a result of the factors detailed in today's press release, which is available on our website at investors.thecheesecakefactory.com and in our filings with the Securities and Exchange Commission. All forward-looking statements made on this call speak only as of today's date, and the company undertakes no duty to update any forward-looking statements. In addition, during this call, we will be discussing earnings per share on an adjusted basis, which excludes impairment of assets and lease terminations. David Overton will begin today's call with some opening remarks. Matt will then take you through our financial results in detail and provide our outlook for the third quarter and the full-year 2018. Following that, we'll open the call to questions. With that, I'll turn the call over to David.
David M. Overton - The Cheesecake Factory, Inc.: Thank you, Stacy. Second quarter core operating performance, driven by comparable sales growth of 1.4% of The Cheesecake Factory restaurants was in line with our expectations. With comparable sales up 1.7%, the first half of 2018 we are tracking to average unit volumes of approximately 10.8 million, underscoring the strong affinity for The Cheesecake Factory brand and the unique dining experiences we provide for our guests. Our operators diligently manage their restaurants during the quarter, including continuing to maintain industry leading and importantly stable retention at the manager and hourly staff levels in spite of industry turnover at historic highs. Tenured teams help drive key operating metrics like year-over-year improvement in food efficiency during the quarter. We also completed the infrastructure upgrade of our West Coast bakery on time and on budget. With the state of the art baking and refrigeration technology, we expect additional automation and upgrades to drive improved efficiency and throughput in our bakery facility. We restarted operations in mid-June, and ramp-up is on track, including production of our two newest desserts, Very Cherry Ghirardelli Chocolate Cheesecake and Cinnabon Cinnamon Swirl. We launched both of these cakes in celebration of National Cheesecake Day yesterday, and we are excited to partner with these two great brands and the media and consumer response has been fantastic. Our marketing team secured 65 on-air segments and generated tremendous social media engagement, including National Cheesecake Day being a trending item on Twitter. Our desserts are a key differentiator for both in-restaurant dining and off-premise occasions, driving our industry-leading dessert sales of approximately 16%, and even higher mix contribution on delivery and to-go orders. Looking ahead, we now expect to open as many as six restaurants in 2018, including one Grand Lux Café, scheduled to open next week, as well as the first location of our new fast casual concept, Social Monk Asian Kitchen, which is slated to open in the fourth quarter. Our second location in Saudi Arabia opened in April. Including this location, we now expect as many as three restaurants to open internationally in 2018. Based on our construction timing, there is another location currently under development that is now expected to open in early 2019. With that, I'll now turn the call over to Matt for our financial review.
Matthew E. Clark - The Cheesecake Factory, Inc.: Thank you, David. Total revenues for the second quarter of 2018 were $593.2 million, reflecting a 1.4% increase in comparable sales at The Cheesecake Factory restaurants, and $12.7 million in external bakery sales. This compares to total revenues of $569.9 million in the prior year period. Our comparable sales growth and operating performance were in line with our expectations. However, our adjusted earnings per share of $0.65 is not indicative of this performance. There are two specific items I would like to call to your attention. First, we experienced about a $0.07 negative impact from higher group medical insurance costs. As a reminder, since we are self-insured, the costs we record in any given quarter are based on actual claims activity and accruals, so we can experience variability quarter-to-quarter and year-to-year. However, over the long term, we believe being self-insured is still the more cost-effective approach. Second, increased legal expenses during the quarter drove another approximately $0.07 of pressure. Absent these two items, our adjusted earnings per share would have been around the midpoint of our guidance range. Now for a review of the balance of our P&L. Cost of sales was 22.5% of revenues, a decline of about 10 basis points from the second quarter of last year. This is primarily driven by favorability in seafood and produce, partially offset by higher poultry. Labor was 35.8% of revenues, an increase of about 190 basis points from the same period last year. A majority of the year-over-year increase is attributable to hourly labor, including higher wages and overtime, as well as $4.6 million in higher group medical insurance costs year-over-year that I referenced. Other operating costs were 24.2% of revenues, up 10 basis points from the same period last year. G&A was 7% of revenues in the second quarter of fiscal 2018, up 80 basis points from the same quarter of the prior year. This is primarily attributable to the $4.5 million in increased legal expenses year-over-year I discussed. Absent these costs, G&A as a percentage of sales would have been in line with the prior year period. Preopening expense was approximately $1.4 million in the second quarter of 2018, about in line with the same period last year. Finally, during the second quarter of 2018, we recorded a pre-tax charge of $2.6 million, related to the lease termination of one Cheesecake Factory restaurant. And our tax rate this quarter was approximately 10.4%, which was below our anticipated range, primarily due to a higher proportion of FICA tip credit. Cash flow from operations was approximately $66 million during the second quarter. Net of roughly $21 million of cash used for capital expenditures and $14 million in growth capital investments in the two Fox concepts, we generated over $30 million in free cash flow, and we completed approximately $7 million in share repurchases during the second quarter. The consistency of our cash flow enabled us to increase our dividend for the sixth consecutive year. Specifically, our board approved a 14% increase in the dividend, underscoring our confidence in the long term prospects of the business. That wraps up our financial review for the second quarter. Now I'll spend a few minutes on our outlook for the third quarter and full year 2018. As we've done in the past, we continued to provide our best estimate for earnings per share ranges based on realistic comparable sales assumptions and the most current cost information we have at this time. These assumptions factor in everything we know as of today, which includes quarter-to-date trends, what we think will happen in the weeks ahead, and the effect of any impacts associated with holidays or weather. For the third quarter of 2018, we now expect comparable sales in a range of 1.5% to 2.5% at The Cheesecake Factory restaurants with diluted earnings per share between $0.56 and $0.60. Recall, we will be lapping an approximately 80 basis point negative impact from the hurricane activity in the third quarter of 2017. Turning to full year 2018, we now anticipate comparable sales in a range of 1.5% to 2%. We are now estimating diluted earnings per share between $2.40 and $2.48, which reflects the impact of the higher second quarter group medical insurance costs and legal expenses I discussed, as well as additional wage pressure as the staffing environment has become even more competitive. Hourly wage rate inflation is now running in the 6% to 7% range. Further on the cost side, we continue to expect approximately 2.5% inflation for our 2018 market basket. And we are now forecasting a tax rate of approximately 12% to 13%. With regard to capital allocation, we continue to expect our cash CapEx in 2018 to be between $80 million and $90 million, including as many as six planned openings. We continue to anticipate growth capital contributions to the two Fox Restaurant concepts to range between $20 million and $25 million. We plan to balance these growth investments with continued return of capital to shareholders via our dividend and share repurchase program in 2018. In closing, our second quarter core operating performance was in line with our expectations, driven by comp store sales within our long-term target range of 1% to 2%. We expect this underlying sales trend to continue in the back half of the year. However, the increased group medical and legal expenses experienced during the second quarter as well as increased wage pressure have reduced our earnings expectations for 2018. Maintaining flat restaurant margins will be critical to our margin rebuilding efforts. To help address the upward pressure on labor costs, we are deploying enhanced labor management analytics to provide additional visibility to our restaurant managers and detailed staffing needs by position and market-based wage rates, as well as more granularity on overtime levels. With our history of continuous improvement, we will also seek additional efficiencies in our restaurants to help offset pressure on the labor line, while also continuing to utilize a market-based pricing strategy that concentrates pricing in higher wage geographies. Finally, we expect portfolio management and diversification to support restaurant level margins over time. Longer term, our objective is to recapture our historical average adjusted operating margin of approximately 7.5% by stabilizing the formal margins and leveraging our bakery infrastructure, international and consumer packaged goods revenue streams, and G&A over time. We will couple this with diligent capital allocation to generate the best returns for our shareholders and maintain our mid-teens corporate level ROIC. Research continues to confirm that The Cheesecake Factory brand has broad consumer appeal, and is as relevant as ever. This supports our comparable sales outlook, which we believe will enable us to manage through the cost pressures and position The Cheesecake Factory for a trajectory of steady profitability growth over time. With that said, we'll take your questions. In order to accommodate as many questions as possible, please limit yourself to one question and then re-queue with any additional questions. Operator?
Operator: Thank you. And our first question comes from John Glass with Morgan Stanley. Your line is open.
John Glass - Morgan Stanley & Co. LLC: Thanks very much. Just two related, I guess. One is on the top line this quarter, your GAAP was in line with your expectations, but I think your gap to the industry narrowed, and I think last quarter you pointed out, you were pleased that you had seen a widening gap, so why do you think it narrowed again? Was that only a difference in timing of maybe holidays that impacted you more than the peer set, or was there any other factor at work there? And then Matt, just to be clear on the back half guidance change, it looks like $0.10 down relative to prior at the midpoint if I back out the impact this quarter had, right? So is that all labor? Or can you maybe break out that into pieces of where that incremental $0.10 falls?
Matthew E. Clark - The Cheesecake Factory, Inc.: Sure, John. I think those are two pertinent questions. On the first, on the top line, I think it really is more around the timing of the spring break shift. When we look at it on a year-to-date basis, we're still over 1% gap to the industry. And on a rolling basis, it's higher than that as well. So, I mean, I think we factored that into our guidance as soon as we came in at the high point, that's probably where we expected to be. With respect to the EPS pressure, it is really around the wage impact. And so, your estimates there are pretty close to what we have. And really, when we think about a 1% to 1.5% higher wage rate increase on the base, that equates to the EPS pressure that you referenced.
John Glass - Morgan Stanley & Co. LLC: Thank you.
Operator: Thank you. And our next question comes from Nicole Miller with Piper Jaffray. Your line is open.
Nicole Miller Regan - Piper Jaffray & Co.: Hi. Good afternoon. I was curious about something a little different here. You talk about the Social Monk Asian Kitchen, and so my big picture question is, what are the benefits of investing in these let's call it non-Cheesecake brands? I'm trying to understand your approach to the leading Cheesecake Factory brand, the core, and then, really, what is a portfolio approach if you think about owning or investing in these other brands? So is there value perhaps in the human capital opportunities for growth for your employees? Or is there a shared set of best practices? Just wanted to understand a little bit more behind how you make these decisions.
Matthew E. Clark - The Cheesecake Factory, Inc.: I think that it's more the shared best practices that you referenced but I think it's also when we talk about diversifying the portfolio and looking at where opportunities are, part of the Cheesecake brand is that it will always be special. There won't be one on every street corner. And so as we look to maintain that legacy of the brand and the performance of the brand and continue to leverage the expertise that we have, whether that's in supply chain, or IT, or operational systems, we think that there is some white space in various opportunities in the U.S. And Social Monk happens to be one of those. And I think, moving into a fast casual environment that offers some positive synergies with respect to, say, real estate planning and a much smaller footprint, it's a smaller labor component. So, really looking at basically leveraging our expertise and diversifying the risk portfolio of the company while also keeping Cheesecake Factory special.
David M. Gordon - The Cheesecake Factory, Inc.: Nicole, at some point we'll get to that 300 number of Cheesecake Factories, and we're trying to ready ourselves so we can continue growth. And we're doing it ahead of time, so it will make an impact on our growth rate when we need it.
Nicole Miller Regan - Piper Jaffray & Co.: Thank you. And just a quick follow-up and I'll hop off. Is there anything you would be willing to share on the international performance in terms of sales or same-store sales? How is the performance for your partners versus their expectations in the past opportunity for growth there? Thank you.
David M. Gordon - The Cheesecake Factory, Inc.: I think the sales remained relatively consistent with where they've been. Our partners continue to be happy. Thus, the three openings that we have happening this year and the one that got pushed into the beginning of next year, but we're certainly meeting our expectations around the international sales thus far.
Nicole Miller Regan - Piper Jaffray & Co.: Thank you.
Operator: Thank you, and our next question comes from Sharon Zackfia with William Blair. Your line is open.
Sharon Zackfia - William Blair & Co. LLC: Hi. Good afternoon. I may have missed this, but if you could break out the composition of the same-store sales, that would be helpful. And then as we think about healthcare for the back half of the year, did you kind of run-rate your current group medical through the back half? In the new projections, I wasn't clear in your answer to John if that was the case.
Matthew E. Clark - The Cheesecake Factory, Inc.: Hi, Sharon. So, in Q2 it was about 2.9% pricing. We had a positive 0.6% mix, and then traffic was down 2.1%. On the group medical, it's really mostly driven by large claims. And we've looked at this with our actuaries to try to make sure that we're factoring in the appropriate comparisons. Partly, it looks like we had a favorable year last year, and just trying to get that mapped out quarter-to-quarter can be challenging. But really the back half pressure is around the hourly wage component. And we haven't materially changed our outlook on the group medical, utilizing a longer term average for any given quarter makes more sense than whatever the experience was in this quarter.
Sharon Zackfia - William Blair & Co. LLC: Okay. And then on the legal settlements, my understanding on the first quarter was that that was a legal settlement that was anticipated later in the year, that was just the timing, but it sounds like these legal expenses this quarter were incremental, so can you give us any color on what's going on with the legal side and if that's something that drips into the back half of the year?
Matthew E. Clark - The Cheesecake Factory, Inc.: So it is a litigious environment for sure, and we see a lot of cases across the board in our industry, and there's a lot to manage today, I think, with the complexity of the regulations that have come on board and just trying to stay on top of that. So, without giving more color, they were two distinct cases. We do outline the details of that in the Q, which you'll get when it comes out. And with regards to the future, not associated with these specific cases, but there is an ongoing number of litigations that we continue to work on.
Sharon Zackfia - William Blair & Co. LLC: Okay. Thank you.
Operator: Thank you. Our next question comes from Jeffrey Bernstein with Barclays. Your line is open.
Jeffrey Bernstein - Barclays Capital, Inc.: Great. Thank you very much. One follow-up on the earlier discussion around the guidance reduction and then a separate question. But in terms of what seemingly is a $0.10 reduction in the 2018 guidance, if you back out the second quarter unusuals, I think you mentioned it was effectively all labor. I was just looking back. It seems like you were expecting labor inflation of 6%-ish, now you're saying I guess 6% to 7%. So, I just want to clarify that that incremental, maybe 50 basis points of higher labor is driving the full – I guess, it seemed like that's a lot to drive $0.10 impact, especially when you're now expecting the comp to be on the higher end of that range. So I'm just wondering whether that's really the – whether that's the sole driver and if so, if you consider more incremental pricing of both the high 2s that you're in now? And then I had one follow up.
Matthew E. Clark - The Cheesecake Factory, Inc.: Sure, Jeff. So, we I think have been talking about 5% to 6% initially in our models. Now we're at 6% to 7%. So it's somewhere between 1% to 1.5% depending on where we fall in that range. So we provide a range of guidance. If it ends up at the 7% end of things, our labor expense on a quarterly basis is over $200 million. And so 1% on that is roughly $0.04, obviously it's not all hourly, but that gets you pretty close to where that pressure is coming from.
Jeffrey Bernstein - Barclays Capital, Inc.: Got it, and would you consider – is there a summer menu to come, or have you already made that decision where you might consider more pricing?
Matthew E. Clark - The Cheesecake Factory, Inc.: Yeah, so we're pushing up slowly. And we've talked about being in the range of 2.5% to 3%. We're probably going to be close to the 3% by the time that the next menu rolls out. So obviously we'll start to incrementally attack that. But we don't want to do it all at once. I think we'll watch the next couple of quarters to see if that wage rate does indeed stay at that level, and continue to address it appropriately.
Jeffrey Bernstein - Barclays Capital, Inc.: Got it. And then just the other question was just on the comp drivers. I mean, to your point in your prepared remarks, it does seem like now in the first half of 2018, you're back kind of stable in that low single-digit level, which I guess was probably the norm prior to the 2017 anomaly, so to speak. So I'm just wondering how much of that would you attribute to your own initiatives? Maybe if you can quantify what to-go and delivery are doing, versus how much do you think is just the broader consumer, which is seemingly helping the whole category?
Matthew E. Clark - The Cheesecake Factory, Inc.: I think it's a little bit of both still. I think that it is more stable, though I still – we still see that in the malls, the traffic's not increasing. It's just stable, so there's a lot of fight for market share there. I think that we have increased our off-premise. So, when we look at the aggregate trends, it does look better, but I would say kind of where we're at versus 2016, it's probably 50/50, the environment and us.
Jeffrey Bernstein - Barclays Capital, Inc.: Thank you.
Operator: Thank you. Our next question comes from David Tarantino with Baird. Your line is open.
David E. Tarantino - Robert W. Baird & Co., Inc.: Hi. Good afternoon. My question is about some of these legal and medical cost expenses. And first on the medical: I guess, can you explain the year-over-year increase again? Was it higher than the long term average that you assumed in your guidance or higher versus last year? Because I think you mentioned it both ways. So, I just want to understand how to put that into context relative to what we should expect longer term?
Matthew E. Clark - The Cheesecake Factory, Inc.: Sure. In the quarter, David, it was higher than both guidance and prior year. And for the most part, we're using prior year, but also the longer term average combined to try to estimate the upcoming year. And so, the real driver is – we've talked about before – are the big claims, and those are over $50,000, and they just tend to be, I'll call it, bumpy. So, for the quarter, breaking down that piece, the majority of the increase we expected there to be sort of your nominal health care inflation of 4% to 5% and above that, we ran over just in claims and the related accrual.
David E. Tarantino - Robert W. Baird & Co., Inc.: Got it. So the $4.5 million that you called out, is that relative to what you assumed in your guidance or relative to last year or...?
Matthew E. Clark - The Cheesecake Factory, Inc.: Sort of to both, right? Because we're – I mean, last year is a guidepost that we would use for guidance. No pun intended.
David E. Tarantino - Robert W. Baird & Co., Inc.: Got it. Okay. Thank you. And then, is there – I guess as you think about this being the base year for next year, the $2.40 to $2.48, is there any way to sort of strip out what you would consider one-time in nature for this year, so that we can think about kind of the right way to model next year? Or is that not the way you'd think about it?
Matthew E. Clark - The Cheesecake Factory, Inc.: Well, for sure the legal expenses are really anomalous and impossible to predict but also are not operating performance in the current year. I think that to some degree health care is as well though it's a little bit – we're only half way through the year, so it's hard to predict exactly how that will ripple through. So it's probably somewhere in the middle for that one. And I think we'll give, continuing through the year, more perspective on that. But since it's only half way through, it's a little bit hard – other than the two items that we're talking about specifically right now, and again I would just clarify, the legal for sure, maybe some of the group medical. But it's early to tell.
David E. Tarantino - Robert W. Baird & Co., Inc.: Got it. That's helpful. And then on pricing, just a big picture question on pricing. It is pushing up towards 3%. You mentioned that's on the high side of what you have done historically. So can you maybe describe how you approach those decisions and what benchmarks you're looking at relative to the competition in order to make sure you don't take too much and impact the traffic trends too negatively?
Matthew E. Clark - The Cheesecake Factory, Inc.: Sure. Specifically, we'll look at maybe several dozen national competitors on a city-by-city basis because obviously as we've talked about geography today, is much more important to consider because of the wage component of the cost pressures in some of those higher cost states. We also have geographic data in Black Box. So, there is a lot of data points to compare against to make sure that in those areas we're really not outpacing the competition in any way. Like right now depending on which source you're referring to, the industry average is about 3%. We happen to be probably slightly heavily more weighted in the West Coast, which is a little bit more expensive. So, in aggregate, when we look at it, we're slightly behind the average competitor in each of the geographies that we're operating in.
David E. Tarantino - Robert W. Baird & Co., Inc.: Got it. Thank you very much.
Operator: Thank you. Our next question comes from Gregory Francfort with Bank of America. Your line is open.
Gregory R. Francfort - Bank of America Merrill Lynch: Hey guys. Just maybe on the labor costs, I think this year in California minimum wage has stepped up, I think it was $0.50. I think they step up $1 next year. Any early thoughts on what labor would be for next year? And do you expect it to accelerate? Or are you expecting some sort of relief at some point next year?
Matthew E. Clark - The Cheesecake Factory, Inc.: I think it's a little bit early, Greg. And, again, it's a patchwork quilt, really, because you do have even in the middle of the year, whether it's the Los Angeles area taking minimum wage increases, there's changes to paid time off and other regulations that are putting pressure. So, it kind of trickles in throughout the year and obviously California going from $0.50 to $1 is an impact, but before we can see what all the other states are going to do and what all the other potential tip ramifications are – the tip credit ramifications, it's kind of hard to give a perspective other than we continue to believe sort of in that 5% to 6%. I think we are seeing a little bit more. I think the Labor Department just came out this afternoon and said it was the highest Employee Cost Index that they've seen in a decade. So, you're definitely seeing some broader pressure there as well. But until we get a little bit more of the definitives around those, it's hard to estimate the trickle-up effect.
Gregory R. Francfort - Bank of America Merrill Lynch: Maybe just in response to or as a follow-up to the last question, what are competitors pricing at in terms of in California? And do you expect that to accelerate where you could see your gap to the industry because of your regional exposure on check, maybe pick-up, where you guys start running 3.5% or 4% check increases purely because of your geographic dispersion?
Matthew E. Clark - The Cheesecake Factory, Inc.: Yeah, I mean, I think California runs in the 3% to 5% range, and the rest of the country is going to run in the 1% to 3% range. Or maybe the whole sort of West Coast perspective. And I think versus some competitors we have a slightly higher balance, across the board if you're using maybe more of a composite industry metric, it balances out because you're going to have the number of restaurants per capita, and so I think California gets its fair share of weighting that we have. So, I don't think that we would see too big of a disparity. Just that we'll probably run in line with where the industry is. We probably won't be below what that average is.
Gregory R. Francfort - Bank of America Merrill Lynch: Great. Thank you guys for the perspective.
Operator: Thank you. Our next question comes from Brian Bittner with Oppenheimer. Your line is open.
Brian Bittner - Oppenheimer & Co., Inc.: Thank you. Just want to take a step back and talk about the long term framework for value creation that you guys have out there. And I think moving forward, what you talk about is needing to hold restaurant margins flat from here over the next many years because I think that's what you need to get the 25 bps of expansion at the operating margin line. So the question is, like, what's going to change either externally or internally within the model as we exit 2018 and move forward? That gives you the confidence that you can hold restaurant margins flat moving forward on this 1% to 2% comp?
Matthew E. Clark - The Cheesecake Factory, Inc.: Well, I think it's a lot of moving pieces. Part of this year I think absent some of these onetime pressures that we've raised, certainly it's going to be a different dynamic if labor runs 6% to 7%, but when we factor in maybe a longer term commodities outlook that's been more 1% to 2% versus 2.5% this year and about a 5% wage inflation, and then we look at running a 1% to 2% comp on a 2.5% to 3% pricing, those factors really get us to that breakeven point on the margin that we're talking about. So, if labor continues to be an incremental pressure, you have to look holistically at the P&L. So what would change is that the point at which technology in the restaurant becomes more affordable relative to the price of labor? You're dealing with a lot of lower end cost labor, but as it continues to escalate, that might be a trade-off. Similarly, if we look at the supply chain and looking for opportunities within our cost of sales to further offset that would be something we would have to consider. So the framework is based on kind of where the trends have been over the past couple of years. I don't think we're yet ready to call the trends different for maybe a couple of quarters in the middle of this year. But if they are, certainly we would have to adjust to that.
Brian Bittner - Oppenheimer & Co., Inc.: Okay. Thanks for that, Matt. And just following up on the guidance for 2018 and what it implies for second half. You talked about the labor pressures causing kind of the back half change in the guidance. When we strip out the medical expense stuff for the second quarter, I think it's about 120 bps of labor deleverage in this quarter. Is that how we should think about labor in the back half? Or should we kind of be thinking a little bit more deleverage than we saw in the first half, excluding those medical expenses?
Matthew E. Clark - The Cheesecake Factory, Inc.: No, I don't think it gets worse because a couple of reasons. Obviously, last year in the third quarter, comp store sales were negative, and so there was deleverage that occurred there, which we will be lapping over. We've also incrementally taken up pricing a little bit. And so you're recapturing some of those pieces. We also had a little bit of that pressure in the quarter from the bakery. A little bit of the labor gets captured in there, and we were doing the remodel here on the West Coast. So, I actually think that the deleverage moderates a little bit as we go through the year versus staying the same or getting worse.
Brian Bittner - Oppenheimer & Co., Inc.: Okay. Thank you.
Operator: Thank you. Our next question comes from Will Slabaugh with Stephens. Your line is open.
Hugh Gooding - Stephens, Inc.: Yeah, thanks for taking my questions. And this is actually Hugh on for Will this afternoon. And just going back a little bit, I wanted to see if you could give us some more color on how comps trended throughout the quarter, and you briefly touched on this earlier, but can you talk a little bit more about the performance of your mall based stores, and if you've noticed any changes or improvement in traffic around those mall stores?
Matthew E. Clark - The Cheesecake Factory, Inc.: The quarter was pretty steady. I don't think any month was more than like 0.5% off of the average. So factoring in any of the shifts for holidays, it was pretty steady. I mean most of our locations are mall or close-to-mall, so the aggregate performance is a good indicator of the mall performance. It looks like things are more stable than last year. Although I wouldn't say that the increasing foot traffic in the malls, maybe just not decreasing like last year.
David M. Gordon - The Cheesecake Factory, Inc.: From a geography standpoint, pretty stable across the country. No particular geography that much stronger than another.
Hugh Gooding - Stephens, Inc.: Great. Thanks, guys.
Operator: Thank you. Our next question comes from Andy Barish with Jefferies. Your line is open.
Andrew Marc Barish - Jefferies LLC: Hey, good afternoon guys. On the mix shift you saw in the quarter kicking up a little bit, is that starting to be a function of more of the off-premise and delivery? And a couple of things, are you willing to share growth on any of those numbers? And any updates on sort of incrementality or seasonality of delivery as you've come through a couple of quarters now with most of the system rolled out?
David M. Gordon - The Cheesecake Factory, Inc.: Sure, Andy. Well, delivery continues and take-out continues to grow. Q2 was about 13%, which is about 2% more for the same quarter from the previous year. Delivery business also continues to be strong and very stable. DoorDash is our main partner, and we're actually executing a new agreement with DoorDash to become our exclusive partner. And they'll take over the 37 restaurants that currently are being operated by our other partner. And we're doing that primarily because they're a great operating partner for us. We're moving into the second phase of our integration into our POS, which will allow for greater efficiencies and less error rates moving forward. And we're looking forward to that in the second half of the year. And those 37 restaurants comprise about 14% of total delivery sales. So, we're excited with the marketing power that DoorDash brings to the table as well, and we'll continue to leverage that with free weeks of delivery, etc. to execute and continue to grow take-out sales. And our online ordering platform, which started out probably as about 9% of total to-go sales, is probably about 11% today. So, we're going to continue to try and grow that as well to make it even easier for guests to execute the to-go off-premise business.
Matthew E. Clark - The Cheesecake Factory, Inc.: And the mix impact, Andy, is mostly attributable to the increase in the business David just talked about.
Andrew Marc Barish - Jefferies LLC: Great. Thank you very much.
Operator: Thank you. Our next question comes from John Ivankoe with JPMorgan. Your line is open.
John William Ivankoe - JPMorgan Securities LLC: Hi, thank you. I was wondering if there were any options or considerations that were open about potentially doing some tip sharing to help even some of the wages between the front of the house and the back of the house, especially in non-tip credit states?
David M. Gordon - The Cheesecake Factory, Inc.: Right now we're not considering doing any type of different tip sharing than we're doing today. We're focused on paying the best pay rates we can to retain the staff members that are highly productive that we have today. I think you heard David mention in his opening remarks that we continue to have industry-leading retention. And some of that are the investments that we're making. And those staff members want to be paid that way, and we're going to continue to make sure that the pay is also market-based. So we have instituted and sent out analysis to all of our restaurant teams to make sure they can see and understand what the market rates are within their particular geography, to allow them to pay appropriately for the work that they're doing at Cheesecake. So for now we're not anticipating to do anything around tip sharing differently than we're doing today.
John William Ivankoe - JPMorgan Securities LLC: Okay, thank you for that. And then secondly, you reminded us of a 7.5% operating margin target. I mean I guess the question is, does that assume the current growth infrastructure continues? And if so, what year might that realistically be achievable? And then secondly, if you did want to slow down growth and kind of look at pre-opening and G&A as opportunity to hit that 7.5% margin, is that something under certain circumstances you would consider?
Matthew E. Clark - The Cheesecake Factory, Inc.: I think, John, we believe that we should be able to scale the infrastructure. And even if we, say, continue at a modest growth rate that we're on right now, the objective to get to the 7.5% is the 20 basis points to 25 basis points a year and probably about 50 basis points coming out of the G&A line, so about 10 bps per year for the next five years that we believe that we can scale from the current base.
John William Ivankoe - JPMorgan Securities LLC: Thank you. Helpful on the G&A color. Appreciate that.
Operator: Thank you. Our next question comes from Peter Saleh with BTIG. Your line is open.
Peter Saleh - BTIG LLC: Great. Thank you. Just a point of clarification. I think you had mentioned a quarter or two ago that the delivery was about two or three percentage points of the overall to-go business. Is that still the case this quarter? Or has that changed?
David M. Gordon - The Cheesecake Factory, Inc.: It's about 2% to 3% of total sales. It's about 20% to 25% of the to-go business. Does that make sense?
Peter Saleh - BTIG LLC: Okay, yes. And then, can you just give us a sense of what the – I know you talked about the total traffic, but what is the in-store traffic if you exclude the growth in the off-premise business? How much lower is the in-store traffic?
Matthew E. Clark - The Cheesecake Factory, Inc.: Probably about 2.5%. So, if you're sort of netting out the growth that we talked about in the to-go business, I mean it's hard to parse it exactly, but that's an estimate.
Peter Saleh - BTIG LLC: Okay. Very helpful. And then, last question is, are you seeing an increase in order frequency on the delivery side? Are customers starting to come back more frequently? And if so, can you give us a sense of how often?
David M. Gordon - The Cheesecake Factory, Inc.: We do have a higher than average return rate based on the information that we have from our delivery partners, so I don't have the exact numbers here in front of me. We can certainly get those for you. But it is well above the average of other partners.
Peter Saleh - BTIG LLC: Great. Thank you very much.
Operator: Thank you. Our next question comes from Matthew Kirschner with Guggenheim. Your line is open.
Matthew Kirschner - Guggenheim Securities LLC: Hey. I just had a question on the CapEx outlook for 2019. Are you willing to give an update on that now?
Matthew E. Clark - The Cheesecake Factory, Inc.: No. I think it's a little bit early. We usually provide perspective in the fall, Matt.
Matthew Kirschner - Guggenheim Securities LLC: Okay. I think I can ask my other questions offline. Thanks.
Matthew E. Clark - The Cheesecake Factory, Inc.: Okay.
Operator: Thank you. Our next question comes from Karen Holthouse with Goldman Sachs. Your line is open.
Jared Garber - Goldman Sachs & Co. LLC: Hi. This is actually Jared Garber on for Karen today. Just a quick housekeeping question. Could you guys break down the comp for Cheesecake versus Grand Lux? And then I have one quick follow up as well.
Matthew E. Clark - The Cheesecake Factory, Inc.: So the comps that we quoted are all Cheesecake. Grand Lux was a negative 3.5%.
Jared Garber - Goldman Sachs & Co. LLC: Great. Thanks. And then in terms of the labor line, is there any way you guys could bifurcate for us kind of where the pressure is being mandated by kind of the statutory rates going up versus just general pressure in the labor markets?
Matthew E. Clark - The Cheesecake Factory, Inc.: That's a very nuanced question. And a lot of it is driven off of the mandates, because they also push everybody else up to some degree. And so, I think if you were to go back and sort of just compare maybe a historical time period, when the minimum wage was relatively stable, the industry was relatively in line with aggregate wage increases, which are more in the 2.5% to 3% rate. And yet the industry is above that. So I think it's all related to it, and I don't know that we could really separate it out.
Jared Garber - Goldman Sachs & Co. LLC: Thanks. And if I could just sneak one more in. Do you guys source any seafood that would potentially be impacted by the tariffs?
Matthew E. Clark - The Cheesecake Factory, Inc.: There's a very small amount. It's immaterial to the financials.
Jared Garber - Goldman Sachs & Co. LLC: Great. Thanks very much.
Operator: Thank you. Our next question comes from Brian Vaccaro with Raymond James. Your line is open.
Brian M. Vaccaro - Raymond James & Associates, Inc.: Good evening and thanks for taking my questions. Just two quick ones on the mall if I could. Matt, on the other OpEx line, I've noticed the deleverage there was a lot better than in the first quarter, and the dollars were down sequentially for the first time in a long time. Could you unpack that line for us a little? And then on G&A, how should we be thinking about that line for the year just in terms of what's embedded in your guidance?
Matthew E. Clark - The Cheesecake Factory, Inc.: Sure. I mean I think we were actively managing the other operating expenses. It's been a little bit – probably just a little bit elevated with some of the R&M and workers' comp insurance, both of which turned out to be favorable relative to the year-over-year. So, we were essentially absorbing some of the commission cost. And so, as we actively manage that, and some of the bumpiness goes away in those categories, we would kind of expect that trend to continue. G&A for the year is a little bit up. Two factors there. One is around the bonus which wasn't accrued fully last year. And the second really is around the ERP project that we're working on, and some of the cost of implementation for that.
Brian M. Vaccaro - Raymond James & Associates, Inc.: Okay. And then just one more, if I could, shifting gears to the Fox concepts. I think the to-date investment is approaching $75 million. I'm just wondering if you could give us an update on how North and Flower Child are performing so far this year?
Matthew E. Clark - The Cheesecake Factory, Inc.: We're very happy. I would say we continued to perform pretty right on expectations. And so, from the prior quarter that just opened, actually Flower Child in Atlanta. So, 11 locations in five states. And both concepts are doing well.
David M. Gordon - The Cheesecake Factory, Inc.: And North is at 13 locations in six states and some recent successful openings.
Brian M. Vaccaro - Raymond James & Associates, Inc.: All right. Thank you.
Operator: Thank you. And our next question comes from Stephen Anderson with Maxim Group. Your line is open.
Stephen Anderson - Maxim Group LLC: Yes, good afternoon. Most of my questions have been answered, but I do have one follow-up regarding your location you opened in Toronto. I just wanted to ask how your performance has been there and if you're considering other locations in Canada.
David M. Gordon - The Cheesecake Factory, Inc.: Thanks for the question, Stephen. We're happy to announce that the sales have continued to be incredibly strong. They really have hardly even fallen off from the opening. And we'll continue to look at it and make sure that the margin and profitability is where we want it to be. And hopefully continue to be able to grow in Canada. So we're really happy with the guest response thus far, and the demand is still quite large.
Stephen Anderson - Maxim Group LLC: Thank you.
Operator: Thank you, ladies and gentlemen for participating in today's conference. This concludes today's program. You may all disconnect. Everyone have a great day.